Claudia Kellert: A warm welcome to our conference call about our First Half 2023. On behalf of SGL, our CEO, Torsten Derr; and our CFO, Thomas Dippold, will present our financials and will give you a little bit more insights about our business development, especially in the Carbon Fibers business unit. After the presentation, we will have enough time to answer your questions.  And now, I hand over to the Dr. Derr.
Torsten Derr: Claudia, thank you very much. Claudia selected a very nice headline, solid group numbers end on three wheels to the finish. And if you look at our numbers, we were able to increase our top line by 1.9% to €560 million. And our EBITDA is stable for the first half year at €88 million and that shows that three of our four business units ran exceptionally well. And we had slight problems with our business unit, Carbon Fibers.  Our equity ratio is at a solid 36.1%, our net financial debt at 170 million and leverage ratio at 1. On the business unit side, we gave some weeks ago a presentation on semiconductors and especially on silicon carbide and this business is still with a very, very good demand situation in our business unit, Graphite Solutions and also our small business units, PT and CS, Process Technology and Composite Solutions are running well above our assumptions.  We are not so happy with our business unit Carbon Fibers. There we see a temporary downturn of the wind industry and this resulted in an impairment, and Thomas will give you some more information about this. Our CapEx is, as we explained in our semiconductor call, higher compared to the last year and all of the additional CapEx is going into silicon carbide and to graphite expansions for the silicon carbide segment.  Outlook, after six months in 2023, we still confirm our sales and our earnings forecast on Group level. Our sales we forecast on previous year level and the EBITDA will be between 160 million and 180 million.  And with this, I would like to hand over to my colleague, our CFO, Thomas Dippold. 
Thomas Dippold: Thank you, Torsten. A warm welcome from my side. This is Thomas Dippold. It's my pleasure and my honor to guide you through the numbers and figure section of this presentation. And as Torsten already said, our H1 2023 overall was really in line with our guidance and our expectations. We clearly said 2023 is going to be a stabilization year and a year of investment where we ramp up our capacity after two years where we really scrutinized everything and squeezed our existing production to maximize the output.  Now we really invest heavily, especially with the customer down payments into the expansion of our Graphic Solutions business unit. In H1 and the first six months of the year, we invested over €40 million into capacity expansion which is far higher than the numbers we usually invest in the first half of the year. You remember that during the time of the restructuring and transformation, we invested maximum on the level of depreciation. We still do that and the excess money that we invest comes from customer down payment.  So when we look at the sales and the EBITDA on the Group level, as Torsten already said, we perfectly can show that we have a stable year. We have in sales which was just less than 2% up compared to last year and in EBITDA, we more or less matched the figures we had last year. However, as Torsten was saying, we have a very imbalanced contribution to that three out of four business units doing exceptionally well; Graphite Solutions plus 37 million contribution to the growth, Process Technology plus 15, Composite Solutions plus 10 despite the sale and the divestiture of our Gardena business. So if you add up this, then their growth would have been even exceptionally well or better than what you see is here with the 10 billion.  Our problem -- what's really hurting us very much is a downturn in Carbon Fibers. In the first half of the year 2023, we have to compare it also with last year where we still had the so-called BMW take-or-pay contract, which was very favorable given the margins and also the overall production level that we had and the sales. But this year, we no longer had the BMW i3 contract. And we have a really very bad market in wind, but we come to that later on.  So all-in-all, these three -- contributions of the three business units can compensate the downturn in the carbon fiber. Based on the strong improvement in the profitability in three business units, we can compensate also the losses that we make in carbon fiber, and overall our balance sheet looks quite healthy.  With the contribution of Process Solutions, the sales split, as you can see, on Page 5 on the right side, Graphite Solutions stands now for more than 50% of our Group sales and Carbon Fibers is down to 23%. The other ones have grown slightly. When we come to the business units, starting with Graphite Solutions first, there we see a 15.3% growth to 280 million now coming from 243 million last year at the same time, and it's mainly the semiconductor business that's driving the growth.  The semiconductor sales year-on-year, it's going up by 51%. We clearly show that we focus on semiconductor in general and maybe silicon carbide in particular. This is where we make money. This is where we have a good and decent margin. And this is also what's driving our top line. When it comes to semiconductor industry, we are fully loaded. We are really on the edge of our capacity. This is what we are trying to expand and we are investing into that, be it in Germany, be it in China, and be it also in the United States.  The other industries that we are serving in Graphite Solutions at least top line wise are either running on a stable level or even a little bit down. Solar is a business we neglect deliberately because we are rather selling the quantities into semiconductor and chemicals due to some economic and cyclical developments, there the sales are down.  Our EBITDA rose even higher than the growth rate of our top line with 20.6%. We are now reaching 65.1 million coming from 54 million the year before. This is now a 23.2% margin EBITDA per sales that we show there, which is a full percentage point higher compared to last year. This is really a very remarkable development and we are very proud of this development that Graphite Solutions is showing here.  Where does it come from? We are fully utilized. We have a very high utilization rate. We sell a lot in the very, very profitable semiconductor industry and there especially in silicon carbide industry. And we shift further some resources and capacities that we have from solar into semiconductor.  Next one is Process Technology. And maybe in one of the next presentations, we show maybe also comparison how they develop, not just compared to last year but also over the timeframe. We see in the top line a 30.9% growth, now reaching €64.4 million in the top line coming from less than €50 million at the same time last year.  Where does it come from? We were very good in acquiring projects and new order intakes in the second half last year, so we benefit off that, always with a time -- a lag of six to nine months in the first six months of this year. We see growth in all regions where we are active, be it in Europe, be it in Asia and also in North America.  And when you look at the profitability, then we clearly can say Process Technology is really our role model when it comes to our slogan that we always -- or our philosophy that we say that margin is more important than growth. And in this in this year over in the first six months of the year, they showed in particular how this can be implemented, their high utilization rate in their production.  They continue with a very strict cost management and they really just focus on very profitable orders. And the outcome is as you can see here, €11.9 million EBITDA in the first six months of the year, with our sales of €64 million. This is an 18.5% margin without any one-off effects, no positive ones, no negative ones. And they really could increase the margin by over 10% if you compare it to the first six months last year. Carbon Fibers, as we already indicated, Torsten in his introduction and we will come to that how the wind market which is really affecting the top line. It's not that we have quality problems. It's not that we have any disturbances in our production. No. It's really the top line and the market that's given us a hard time. And we see a really tough development in our top line down with almost 30% coming from €176 million last year and the first six months of 2022 to now reaching €125.1 million in H1 2023.  Yes, there's a certain price effect in there with the expiry of the BMW i3 supply contract at June 30 last year. This is true when we know that and we anticipated that. However, that now also the quantity is down so much, it is terrible and this has really given us a hard time. And as a consequence, also our EBITDApre really went down by almost 80% coming from €28.2 million at half year last year we are now down to €6.1 million.  And if you also look at the contribution that we get from our equity consolidated joint ventures like the BSCCB where we make this carbon-ceramic brake disc, you have to deduct 11.0 million from the 6.1 million, and then we can -- we clearly have to state that carbon fiber as an operative business is making losses of €5 million EBITDA in the first six months of the year.  So what how do we react on that? On the one hand side, we have partial production shutdowns that we really idle some of the capacity that we see. Yes, this is fixed cost. But on the other hand, we also protect our cash. Second is and you've seen that last week. We had to impair our assets by €44.7 million because of the bad business development and also the rising capital costs that we saw in our H1 report, both were the triggering events that we had to adjust our valuation on our assets.  Composite Solutions as the last operative business unit that we have is doing exceptionally well despite the negative effect from the sale of the Gardena business at the beginning of the year. They can fully overcompensate that and still growing this 14.4% to now reaching almost €80 million and the top line coming from almost €70 million last year where Gardena was still included. We have a very strong demand from automotive customers in both segments, in large and also small scale solutions.  And this business unit, Composite Solutions was able to increase the margin coming from €9.7 million or 30.9% margin to now €12.3 million EBITDA which is 15.5% margin. This is really a remarkable development that despite the strong growth that we see, we even can improve our profitability even further. And we are very proud of that development that really helps. And both the smaller business units, Process Technology and Composite Solutions can really compensate the downturn that we see in Carbon Fibers.  Corporate or corporate developments, there we see -- when it comes to the top line, there we see a slight decrease in our sales which is however neglected, 10 billion at half year. There are still the effect from the asset held for sale business units like Gardena and Pune which we saw beginning of the year. And then we isolated them from the operative business units and put them into corporate. There you see some effect. The other ones are just some charges to other parties and joint ventures that we have there that are in the top line.  When it comes to the bottom line, we see that the EBITDA improves slightly by €0.6 million, €0.7 million to be precise, which also shows that we continue with a very strict cost management and keep the cost in order also on a corporate level that we maintain fixed costs as good as we can. Last but not least, from my side a look at our major KPI besides the development of the business units. Yes, for the first time since three years, we show at least at half year, a negative net result of minus €10 million coming from very strong €48.8 million last year. The main trigger behind that was €44.7 million, the development or the impairment that we see on the assets in the Carbon Fibers business unit.  And last year, we also had in the first six months of the year, a one-off effect from the sale of our Griesheim site. This contributed positively in the first six months last year to that. We are very confident that throughout the year, at least with our operative and normal development, we will also show a positive net result for the full year 2023 figures. But for the half year, it's minus 10.  Our equity ratio with impairment suffered, of course, was the net result which is negative slightly. We now have an equity ratio of 36.1% coming from 38.5% at year end. And our net financial debt more or less remained flat, despite the heavy investment and despite the negative developments in Carbon Fibers. Our ROCE remains at 11.0%, which is also still a very good level.  If you deduct -- we also published that throughout Q2 that we are now completely refinanced as SGL until 2026 or 2027 with all financial instruments that we put in place. And if you include the corporate bond, which we bought back last week, on the July 28, we bought back the outstanding remains of the 250 million corporate bond. If you include the shorter balance sheet to that, then our equity ratio would be above 40%. So this is nothing to worry. It's still a very healthy development.  And with that, I hand back to Torsten Derr, our CEO, who will explain a little bit more the market of the wind, how we see it and how we move on with that.
Torsten Derr: Yes, I would like to explain you a little bit why we were surprised off of that market in wind energy, why wind energy is so important for our Carbon Fibers business? And I would like to depict the history a little bit. And on the left hand side, you see the reason why SGL is in carbon fiber, because SGL developed together with BMW a novel concept for a car frame.  And you can see here on this picture on the left hand side, two guys carrying a very light and stable car frame. And this is a car frame of the BMW i3. And this is the reason why BMW and also Volkswagen invested in our company because 10 years ago, everyone thought this will be the future of car making. And unfortunately, the i3 and the second model, the BMW i20, was the only models build and no other car manufacturer copied this concept.  And unfortunately, BMW decided to discontinue our volume model, the BMW i3 by end of -- by mid of last year. Then the last BMW i3 was proposed and our carbon fiber relation to BMW ended for this car model. And Thomas and me came into the company three years ago. And as we asked the carbon fiber guys, there was nothing else than carbon fiber for BMW. And Thomas and me shifted all R&D resources into the development of new carbon fiber types which you could use, for example, for wind energy.  And I have to say we were last year so proud and it was like magic for us that we could shift all the volume -- volumes which were released from the BMW i3 into the wind energy, because we were able and our R&D team did a really great job to switch the formulation of this carbon fiber to a fiber which can be used in wind energy. Wind energy was running pretty well we thought. Now we know there was a lot of inventory built up, but we were able to sell all volumes which were released by the discontinued i3 into the wind energy.  I will later on disclose the market studies we used for our assumptions and they are still writing a pretty positive future. So we shifted the business from car industry into wind energy. Why not into aerospace, because SGL is producing a special kind of carbon fiber called heavy tow or large tow carbon fiber.  And for other segments, like aerospace or a car industry, you use low tow carbon fiber. And the manufacturers of carbon fibers are divided two thirds to one third. We are in the one third segment. We only have three to four competitors, which produces heavy tow fiber, but the heavy tow fiber goes into industrial applications. This can either be car industry or wind energy, but not so easily into aerospace industry.  So we moved from last year to this year into wind energy. What happened to our surprise, wind energy this year is at a 10 years low. Also our direct customers, they had different assumptions and plans with higher volumes. And we really were surprised. What happened after Siemens Energy came out in May, July with the reduction of the financial goals with equality issues. And this started really a staccato of bad news in the wind industry and everyone was active in the wind energy, came up with a profit warning, with a reduction of forecast, and so on.  And this was combined with pretty high inventories in the whole industry value chain, which were built up last year where we thought business is running pretty well. And this result is that we -- in an idling of our assets, I would say today as we talk, 30% to 35% of our capacity is idle due to lack of demand in wind energy. We sell around 60% to 70% of our total volume into the segment wind energy. And this demonstrates how hard this hit of a standstill in the wind industry hit us in this segment.  And it was not so easy for us to escape into other segments. But our R&D department as we manage to make a fiber for the wind energy, they are working on alternative markets which I will introduce later on in my presentation. This is something which is some years down the road. But we will step by step shift from the lower margin wind industry into a higher margin other businesses, and I show this to you later on.  On the next slide, you see why we were surprised. And look at the headline, this we call the wind market’s paradox. You know about the green deal. You know about the Biden administration and their goal in wind energy. There are voluntary targets of a lot of companies to go to net zero in the next 15 to 20 years, and a lot of states declared a net zero target. And this is not feasible without wind energy.  And on this slide, look at this, there are -- from my point of view, the four best market studies which are there. And here's depicted kilotons carbon fiber used in wind energy by here. And you can see all curves, all four market studies which we have at hand have a strong upward potential. And I start with the two lower lines, which is a very reputed market research institute as IHS, and you can see here two lines, the line of 2023. And I think in May they have released an update of the 2023 study and the 2023 study is quite a lot of higher than in last year. So IHS was positive.  If you look at the two other lines, which is Wood Mackenzie and the consulting company McKinsey, two different companies, they predict until end of the decade, a tripling of the market. And the story behind this is very easy. Wind energy is mostly offshore growth. Offshore wind turbines will grow with a CAGR of 18%. And this is described by all market research institutes here in this panel. And offshore wind energy has to use carbon fiber in every wind turbine sold to offshore wind energy uses carbon fiber and this is the reason for the steep increase, which you see here in carbon fiber demand.  And some of them were already talking about the shortage of carbon fiber, especially in the U.S. And we were very happy because we have our biggest carbon fiber production at Moses Lake, U.S., yes. Nobody has seen the downturn in 2023. And we were really surprised as Siemens started and now almost all players are out with very bad news. But what we think the market will recover sooner or later, right now we see no sign of recovery until year end.  So what are the alternative markets? And here you see which other fibers we are developing. We will go into the hydrogen pressure vessel market. This is for fuel cell cars. This is for hydrogen generation. And this is more or less a plastic tank which is wrapped on the outside with carbon fibers and you need large amounts of carbon fiber. And our heavy tow carbon fiber fits excellent to this wrapping of hydrogen pressure vessels.  There are 50 manufacturers worldwide. We centered all of them and are in a trial period right now and two of suppliers are already buying from us. And we presented this hydrogen pressure vessel fiber at the JEC show which is the biggest carbon fiber show in Paris. And the interest is really high, but it takes time until you have a permit to use the fiber and to sell things produced with our fibers. So it's for us a medium volume with a mid-term realization timeframe.  We are active in construction. And then we have the nice Japanese business. On the second picture are mats depicted. These are carbon fiber mats and you use them to refurbish, for example, manholes. And you put the carbon fiber mat in, put a little bit of concrete on and you can use the same manhole for another 20 to 30 years. This is a very cheap method to repair bridges or manholes or whatever for steel, concrete constructions.  We are active in aerospace. And a while ago we presented to the Capital Markets our cooperation with Solvay which is disclosing their half year figures also today. We have a development joint venture and we produce something which is like an adhesive tape which you use for the outer body panels of airplanes. And, of course, there are two major players in this market, which is Airbus and Boeing, and we are pretty far to use our heavy tow fiber for the construction of airplanes.  But here a lot of testing is required. And I cannot promise a fast entering into the business, expect something by the end of the decade, because probation periods are so long in the aerospace industry, they first will sample testing then they use it in unmanned planes and later on in the big volume of commercial airplanes. And I think '27, '28 business with Boeing and Airbus might stop. But we are on a very, very good way.  And last segment is carbon fiber rebars for concrete. And the big block above is a steel rebar in concrete, which is used in buildings and bridges right now. And you know, especially in Germany, about the problems which we have with our bridges. You won't have the problems if you would have used plastic rebars with carbon fibers instead of steel, because you will have zero corrosion, and you can shrink the concrete use by 50% and have the same stability.  This will come, but you need standards -- from the standard-setting bodies in the countries and we don't expect fast business entry there, also something between '27 and 2030. So you see we are working on alternative markets. And we still believe in the recovery of the wind energy market. And this shows why we were pretty surprised of the standstill which we are experiencing right now of the wind industry.  Okay. I would like to summarize. This is what Thomas and me presented today. Our top line figures are stable, growth of almost 2%; EBITDA on prior year level plus 0.1% and we confirmed our guidance. Our business units, GS, PT and CS are running exceptionally well above our best assumptions which we had last year. But we suffered from a 30% top line decline caused by the wind energy, by weakness of the wind energy of 30%.  How are our markets developing? Semicon is still running very good. And Thomas and me had meetings with very, very large customers in the silicon carbide industry. They are still going crazy and confirmed the forecast we had. This is a very, very good market and we try to debottleneck our capacities wherever we can. We have solid call offs from automotive industry. And as I explained, currently we suffer from a temporary downturn in the wind energy. This summarizes our half year figures.  And with this, I would like to hand back to Claudia for the Q&A session.
Claudia Kellert: Yes. Thank you. Now we have time for your questions. So the moderator will give you some more details how to ask questions and to handle this technique.
Operator: And we have the first question from Thomas Junghanns from Berenberg. Please go ahead.
Thomas Junghanns: Hello. So, first of all, I have directly three questions, maybe you can go one by one. So my first question is given the difficult environment when it comes to the chemical industry, how is book to bill ratio in Process Technology and in Composite Solutions?
Torsten Derr: The book to bill ratio was slightly above 1. And in composite solutions, we are not connected in any way to chemical industry. Composite Solutions is more for roughly 70% focused on the automotive industry. And they are on the ultra-high end, so Ferrari, Lamborghini and so on, and we see a very, very healthy demand currently.
Thomas Junghanns: Okay, perfect. Thanks for that. Then another question with respect to Process Technology. We saw an increase in the margin and you gained a margin of above 20% in Process Technology. How sustainable is this margin? Can you keep this?
Torsten Derr: Yes. This margin, we are very happy about what we have achieved. But we don't think that this is sustainable, because Process Technology, they are connected to the chemical industry. And there are some segments which are running well, others which are running not well. So we see a little bit of a cool down in chemical industry and others which are coming in are reduced compared to the prior periods. But there are other markets. You also need our synthesis equipment for the production, for example, of ultra pure hydrochloric acid in the semiconductor industry or in the fertilizer industry. And we had very good order entries from this element. So how sustainable this is, how long the strong order entry stays? We cannot say. But for the time being, we are pretty satisfied. Thomas? 
Thomas Dippold: You were mentioning the margin, and Torsten described the market. And I think he described it perfectly, a margin of 18%, which we see in the first six months of the year. To be honest, we don't think that this is super sustainable and that we can maintain that level or even increase it. We had some very good orders and very good projects in the first half of the year. We always said a double digit margin is necessary in this specialty business. And this is how the business unit really developed perfectly into. But going beyond 18% we don't think that this is sustainable.
Thomas Junghanns: Perfect. Thanks a lot. And so last question from my side is with respect to the customer prepayments you have already received. How many customer prepayments have you received so far in 2023? And can we still assume a CapEx of €80 million to €90 million for 2023?
Torsten Derr: Yes, 40x 2 is 80. And normally, we are always a little bit back loaded when it comes to CapEx. So we are running full steam ahead with our CapEx and we do whatever we can to ramp up capacity. This is not greenfield. This is all brownfield. So we invest in our sites, be it in Germany, be it in North America and also in China on the Graphite Solutions, and there especially when it comes to capacity expansion in semiconductor equipment. So we're really running full steam ahead there, as promised. And your second question was on the customer down payment. Yes, it continues. It was 10 million in Q1, it's 6 million in Q2. And you can expect further customer down payments throughout the rest of the year.
Thomas Junghanns: Perfect. Thanks. And I will step in the queue.
Torsten Derr: Thank you.
Operator: [Operator Instructions]. The next question is from the line of Sven Sauer from Kepler Cheuvreux. Please go ahead.
Sven Sauer: Yes. Hello. Thank you for taking my questions. The first one is on your capacity and your planned expansion. I was wondering if you could maybe provide some more color on that. You mentioned in the presentation that it’s not only in the Graphite Solutions segment where your capacity is at max, but also in another segment. And then the previous question, you mentioned that the investments are not greenfield investments. So I was wondering, as an add-on to that, what's the limitation to expand capacity further? Is it money or is there any other bottleneck to further expand capacity in the Graphite Solutions segment? Thank you.
Torsten Derr: Yes. Sven, thank you for your questions. I think the first question was on where and how we invest? We can clearly say Process Technology, they hardly need any CapEx. It’s a small project business. So this is not so relevant. For Composite Solutions, we invest. Of course, whenever we begin a new project and we need some new toolings, partially our customers finance it. And then we also have a kind of a down payment or customer down payment also there. But we invest whatever those businesses also need. Also for Carbon Fibers, we invest despite the difficult situation in case we need something and you know that we switch our energy supply in our Lavradio site from gas to biomass. This, of course, we continue with that. We don't stop that because we think it's also sustainable and move into a green carbon fiber. This is something that we still continue to do. But everything in excess, be it from our own cash flow, what we can create from our operative cash flow, we spend on the level of depreciation for the expansion there. And as long as we have enough room and capacities in existing sites that we can further equip them with machines and furnaces and ovens, it's definitely faster and generating more and more cash and also higher sales. And we can serve our customer much quicker than developing a greenfield site, wherever you need, you need a construction company until everything's set up. This is easily one to one and a half years until this has been installed. So we try to serve the customer demand as quickly as possible, and this is by max out and utilizing the space that we still have there. And I think we can continue with that for still quite a while. If you give me unlimited resources in engineering capacities and of course money, we certainly have good ideas how to invest. But we think with the current demand that we see and also that we maintain our cash flow as a good corporate company, then we think we spent the money that we have in a very good way. And of course it always can be more, but you also have to make sure that you spend the money diligently. And this is what we can guarantee by moving ahead as we do.
Sven Sauer: Great, thank you for the answer. I have one follow-up question in the Carbon Fibers segment. Would you share the exposure you have to the offshore and onshore wind segment in carbon fiber?
Torsten Derr: Yes. Sven, this is very easy to answer. You can build a wind turbine with both glass fiber where we are not in or carbon fiber. And the longer a wind blade is, the more carbon fiber you need. And above 90 meter blade lengths, you can only do it with carbon fiber. And the onshore installations are smaller than the offshore installations. And I shared with you the growth rates. Offshore is growing with 18%. I think onshore is forecasted with 2%. And the share of carbon fiber used in onshore installations is very low, because the blade lengths are lower. So you could focus everything what we do or 80% to 90% on the offshore market.
Operator: So far, there are no further questions, and I invite Claudia Kellert for closing comments.
Claudia Kellert: Yes. Thank you for your participation today. You will find the presentation, the replay as well as the half year report on our webpage. And if you have additional questions, please contact Jurgen Reck or myself. And I only can wish, have a relaxing summertime. And goodbye. Hope to see you and speak to you latest in November. Thank you. Bye-bye.